Operator: Welcome to the Global-E Third Quarter 2025 Earnings Conference Call. This call is being simultaneously webcast on the company's website in the Investors section under News & Events. For opening remarks and introduction, I will now turn the call over to Alan Katz, Global-E's Head of Investor Relations. Please go ahead.

Alan Katz: Thank you, and good morning, everyone. With me on the call today are Amir Schlachet, Co-Founder and Chief Executive Officer; Ofer Koren, Chief Financial Officer; and Nir Debbi, Co-Founder and President. Amir will begin with a review of the business results for the third quarter of 2025. Ofer will then review the financial results for the third quarter, followed by the company's outlook for the remainder of 2025. We will then open the call for questions. Certain statements we make today may constitute forward-looking statements and information within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact, including, without limitation, statements regarding our future results of operations and financial position, growth strategy and plans and objectives of management for future operations including onboarding new merchants, expanding our offerings and introducing and integrating new solutions are forward-looking statements. These forward-looking statements reflect our current views with respect to the future events and are not a guarantee of future performance. Actual outcomes may differ materially from the information contained in the forward-looking statements as a result of a number of factors, including those set forth in the section titled Risk Factors in our annual report on Form 20-F filed with the SEC on March 27, 2025 and other documents filed with or furnished to the SEC. These statements may reflect management's current expectations regarding future events and operating performance and speak only as of the date of this call. You should not put undue reliance on any forward-looking statements. Except as required by applicable law, we undertake no obligation to update or revise publicly any forward-looking statements whether as a result of new information, future events or otherwise, after the date on which the statements are made or to reflect the occurrence of unanticipated events. Please refer to our press release issued today, November 19, 2025, for additional information. In addition, certain metrics we discuss today are non-GAAP metrics. The presentation of this financial information is not intended to be considered in isolation from as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects and allow for greater transparency with respect to key metrics used by management in its financial and operational decision making. For more information on these non-GAAP financial measures, please see the reconciliation tables provided in our press release today. Throughout this call, we'll provide a number of key performance indicators used by our management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release issued today. I will now turn the call over to Amir, our Co-Founder and CEO. Amir, please go ahead.

Amir Schlachet: Thanks, Alan, and welcome, everyone, to our third quarter earnings call. We achieved another quarter of very strong results, coming in above the midpoint of our guidance for revenue and adjusted EBITDA and even exceeding the top end of our guidance range on GMV. This strong performance was a result of the entire Global-E team around the world continuing their relentless execution throughout the quarter, developing and providing best-in-class solutions and services to our merchants and their shoppers. Before we dive into the quarter, in terms of our forward-looking outlook, given what we see in the market today and the overall robustness of trading volumes we have witnessed in Q3 and Q4 to date, we are once again raising our midpoint outlook across all of our guidance metrics for the remainder of the year. As such, for the full year of 2025, we now expect GMV to be roughly $6.46 billion at the midpoint, representing just over a 33% annual growth rate. We're also raising our revenue and adjusted EBITDA guidance for the full year to $952.1 million and $192.8 million at a respective midpoint, representing 26.5% and 37% growth for the year, respectively. As in previous years, in 2025, we once again expect to surpass the full year guidance ranges that we shared with you in the beginning of the year, a testament to the durability of our growth algorithm. We believe this strong performance for 2025 keeps us on track to deliver the multiyear growth and bottom line profitability targets we shared with you during our Investor Day earlier this year. Back to our quarterly results. We finished Q3 with GMV of $1.51 billion, up 33% year-over-year and revenue of $221 million, up 25.5% year-over-year. In terms of profit, our adjusted gross profit for Q3 was $102 million, up 24% from last year and quarterly adjusted EBITDA was $41.3 million, up 33% compared to the same quarter of last year, resulting in an 18.7% margin, a 100 basis point improvement compared to Q3 of 2024. Our GAAP net profit for the quarter was $13.2 million, and we generated $73.6 million in free cash flow, an increase of almost 250% compared to last year. Now before I go through the current trading patterns and our Q3 new merchant launches, I want to provide a few broader business updates. First, on several previous calls, we have mentioned our duty drawback offering, a value-added service that we have provided in certain non-U.S. markets for some time now. By use of these value-added service and depending on the sales parameters, merchants can potentially reclaim import duties on goods that are exported outside of their home base as well as on return goods. Given the recent suspension of the de minimis exemption, we have seen increased interest in this offering also for the U.S. In parallel to other offerings, such as 3 B2C all aimed at helping our brands to navigate the stormy orders of international B2C trade. Within the quarter, we also got the permit to offer import duty drawback to our U.S.-based merchants for their exports out of the U.S., further supporting them in optimizing their cost of trade in times of change. Second, a quick update on our managed market solution. We've been working in close collaboration with our partners at Shopify, according to our joint plans. Over the past 6 months, most of the development has been completed for a rollout in 2026 and we are currently in beta testing for the new flow. As a matter of fact, new merchants that apply now to managed markets are already going through the new flow. We still have some tweaking to do on the back of what we will learn from the better merchants, but remain on track for the next phase of managed markets, moving to full commercialization. Third, we continue to make good progress on our borderfree.com offering. During Q3, we added a buy-now capability as well as advanced search functionality, enabling a more streamlined shopper experience and improving sales conversion rates. We also continue to see further growth in shopper sign-ups as well as an increase to the share of merchant sales attributable to the borderfree.com channel which now stands at over 4.5%, representing an increasingly valuable demand generation channel for merchants on the program. Lastly, during the quarter, we announced the authorization of a $200 million share repurchase program by our Board. Global-E is a highly cash-generative business. And given our strong balance sheet and our track record of generating sustainable cash flows, we see a share buyback plan as a logical use of cash, especially at the current market valuation. Given the blackout periods that we are subject to in Q3, we have not yet begun buying back shares but we expect to do so starting in the coming days. We will employ a thoughtful approach here to take advantage of any disconnect we see between our performance and outlook and the market valuation of our shares. I also want to spend a few minutes on how we are strategically approaching AI in general and agentic e-commerce, in particular, and what we are doing to make sure we are well positioned to capitalize on this upcoming market opportunity. Throughout this year, we've already been seeing some traffic to our merchant sites being initiated from ChatGPT and resulting in successful transactions processed by Global-E as well as agent-assisted in-chat checkout transactions. While both still represent a very small share of sales for our merchants, we believe these are exciting potential new sales channels for them. As brands focus more on selling within these third-party channels, we will continue to provide the same best-in-class support and service that we provide across all of our sales channels. Irrespective of the sales channel, the value of our expertise and capabilities do not change. We meet our brands wherever they spend online and provide support for them to transact internationally regardless of the source of traffic. Furthermore, we have deployed AI-powered use cases throughout the buying journey from demand generation, utilizing AI, both for brands using our agency services and for our own B2B marketing through to different aspects of trade and post-purchase support from classification, down to customer care. In parallel, we also have an internal team focused on making sure that our solutions will be positioned to work seamlessly across the agentic commerce platforms for Instant Checkout from both a merchant and a consumer perspective when such platforms are introduced to the market. As our partners look to work with agentic technologies to provide instant checkout capabilities, we will be there to provide a seamless, effective and compliant end-to-end international experience. This is all obviously very early in the life cycle. But as always, we will keep doing what it takes to remain at the forefront of Global-E commerce, and we utilize the advantages of our scale, know-how and sophistication to emerge a share gainer. By focusing on this early and engaging with key players in the space, we are aiming to maintain our [indiscernible] position for the enablement of seamless cross-border commerce within AI-led transactions in the future. Now let's move on to the broader business performance in the third quarter and what we're currently seeing in Q4. As I already mentioned, we saw consumer discretionary spending holding up during Q3 and Q4 to date. And we continue to see strong market traction with our largest merchants across different destination markets. The trading patterns we have seen in Q3 and the first half of Q4 give us confidence that we will end the year strong. In terms of new merchant launches within Q3, we continue to grow across geographies and within our cohort of merchants. We experienced continued strong demand for our services across different markets as a large number of brands went live with Global-E during the quarter. This included multiple brands that went live with us in the U.S., such as Everlane, the renowned high street online U.S. clothing retailer that recently moved to Shopify, chose Global-E to accelerate its international growth and Ashford, the luxury U.S. watch brand. In Canada, we launched with the online shop of Drakes fashion brand, October's Very Own, as well as Aritzia, the fast-growing clothing company which has shown a quick ramp-up of their conversion rates and international sales post launch with Global-E, as they mentioned in their current -- in their recent quarterly earnings call. In the U.K., we launched a renowned luxury brand Coach which is part of the Tapestry group of brands; with Browns Fashion formerly part of Farfetch; and with the Jewelry brand, Regal Rose. I'm also pleased to say that U.K.'s Marks & Spencer is back online as of October and their trading is back to normal patterns. In France, we launched with Chloe, the renowned luxury fashion brand, thereby extending our partnership with [indiscernible]. We also launched with [indiscernible], the classic French sportswear brand and with the fashion brand Hartford. Across other European markets, we launched a Sleeper brand, Kalida and dog wear brand CLOUD7 in Germany, and with D1 Milano watches in Italy, among others. In Asia Pacific, we launched Bandai Spirits, the famous Japanese toy and collectible company, as well as Japanese designer fashion brand, Mihara Yasuhiro, and Posse, the high-end Australian fashion brand. We also launched Beauty of Joseon, a Korean skin care company; and Paper Shoot, a consumer electronics brand, which is also the first Taiwanese brand to sign with us. Another exciting launch in the region during Q3 was that of Blackbough Swimwear, our first brand out of the Philippines. Within the sporting goods vertical, golfers around the world can now buy their [indiscernible] from Tacoma Grove, the finished D2C Golf brand, which went live with us during Q3. During the quarter, we also went live with Live Sports, a U.K.-based sports equipment brand and with Luke [indiscernible], a Scandinavian fly fishing gear company, which is also the first to integrate our services on a headless [indiscernible]. Besides many new merchant launches, during Q3, we also expanded our scope of business with quite a few existing merchants, such as FIGS where we expanded into South Korea in a number of Latin American markets. Helmut Lang, the New York-based fashion brand and the merchandise division of JYP Entertainment, one of the largest K-Pop labels and production companies which both expanded into Japan. Bang & Olufsen and Tom Ford, which both opened a number of new European markets with us in the quarter. Australian fashion brand Zimmerman, which went live with us with its [indiscernible] serving the APAC region and fashion brand Theory, which added support for several GCC countries out of its new U.K. [indiscernible] integration. Both Burberry and [indiscernible] Eyewear, who we worked with to expand into Mexico. Bach, we expanded with us into Norway and [indiscernible] which added more than 10 new countries, including Japan, Italy, Spain and several Nordic countries. Furthermore, as I mentioned earlier, in the face of higher tariffs and the suspension of the de minimis exemption in the U.S., we have seen heightened interest in our 3 B2C and multi-local solutions as well as our duty drawback value-added services. More and more merchants, both existing and new, continue to pivot to utilizing these advanced capabilities in order to mitigate as much as possible the effects of the new duty regimes on their business. The launch of new merchants and the continued expansion with existing merchants as well as our current pipeline, give us confidence that we are well positioned in terms of both our near-term and our long-term targets. We have good visibility to durable, profitable growth and a strong pipeline of cash flows into the future. Our results year-to-date would be impressive in any environment. But considering the uncertainty that the global e-commerce market faced at the start of 2025, I believe these results really showcase the resiliency of our business model and the value that we create for our merchants. I will now hand it over to Ofer to take us through the quarterly numbers in more depth and our increased 2025 guidance in Q4.

Ofer Koren: Thank you, Amir, and thanks, everyone, for joining us today for our earnings call. As Amir just highlighted, we achieved another strong quarter of growth for globally. We delivered results at or above the top end of our guidance ranges for GMV, revenue and adjusted EBITDA, generated strong free cash flow and had another quarter that landed well above the Rule of 40. Before I go into the details of the quarter, I'd like to remind everyone again that in addition to our GAAP results, I'll also be discussing certain non-GAAP results. Our GAAP financial results, along with the reconciliation between GAAP and non-GAAP results can be found in our earnings release issued today. GMV in Q3 was $1.512 billion, up 33% year-over-year, 3% above the midpoint of our range for Q3. Trading volumes remained resilient in the third quarter despite some uncertainty due to ongoing changes in tariffs. As Amir discussed, we have also seen solid trading volumes through the first half of Q4, including significant contribution from some of the newly launched brands. The holiday shopping season is just getting underway, and we have seen initial sales volumes in line with expectations so far. In Q3, we generated total revenue of $220.8 million, up 25% year-over-year and 2% above the midpoint of our guidance range. Service fee revenue for the quarter was $103.5 million, and fulfillment services revenue for the quarter was $117.3 million. Service fee take rate was slightly lower than Q2 and in line with the first quarter, driven by mix, while fulfillment take rate was similar to last quarter and as expected, lower compared to the first quarter given the planned shift of certain volumes to multi-local and our growth within verticals that are multi-local by nature. Progressing through the income statement, non-GAAP gross profit was $102.1 million, up 24% year-over-year representing a gross margin of 46.3% compared to 46.7% in the same period last year. GAAP gross profit was $99.6 million, representing a margin of 45.1%. Moving on to operational expenses. In Q3, we continued to invest in the enhancement of our platform to further expand our offerings and add value for our merchants while leveraging our scale and AI tools and agents to gain efficiencies. R&D expense in Q3, excluding stock-based compensation, was $26.1 million or 11.8% of revenue compared to $22.8 million or 13% of revenue in the same period last year. Total R&D spend in Q3 was $30.8 million. We also continued to invest for growth within our sales and marketing organization, while remaining focused on cost and efficiency including by the growing use of AI-powered tools across our sales and marketing activities, such as demand generation, lead qualification and outreach. Sales and marketing expense, excluding Shopify-related amortization expenses, stock-based compensation and acquisition-related intangibles amortization, was $26.4 million or 12% of revenue compared to $21.5 million or 12.2% of revenue in the same period last year. Shopify warrant-related amortization expense was $8 million in the quarter, down from $37.4 million in Q3 '24. As I've discussed in the past several quarters, we expect this expense to remain at the same level for the remainder of the year and to be completely gone at the beginning of 2026. Total sales and marketing spend for the quarter was $38.4 million, down from $62.7 million in the same quarter last year. General and administrative expenses, excluding stock-based compensation, acquisition-related expenses and acquisition-related contingent consideration were $9.2 million or 4.2% of revenue compared to $7.7 million or 4.4% of revenue in Q3 of last year. Total G&A spend in the quarter was $13.4 million. Adjusted EBITDA was $41.3 million, up 33% from Q3 2024 and 5% above the midpoint of our guidance range. Adjusted EBITDA margin was 18.7% versus a 17.7% margin in Q3 2024, driven by lower operating expenses as a percent of revenue leveraging our scale and cost efficiencies. In Q3, our GAAP net profit was $13.2 million compared to a net loss of $22.6 million in the year ago period. The positive net profit was driven mainly by the reduced amortization expenses related to the Shopify warrants as well as our continued business growth and our growing efficiencies. Moving on to the balance sheet and cash flow statements. We ended the quarter with $552 million in cash and cash equivalents, including short-term deposits and marketable securities. Q3 was a strong quarter of cash generation with free cash flow of $73.6 million in the quarter, an increase of 245% compared with Q3 of 2024. We believe that our free cash flow margin adjusted for seasonality will continue to be strong in the coming quarters. As Amir highlighted, we expect to begin utilizing a portion of this cash to repurchase outstanding shares in the coming quarters in accordance with the Board authorization. We plan to start executing upon our buyback program in Q4, subject to market conditions and other applicable factors. We have a strong track record of cash generation and see an opportunity to return capital to shareholders to drive long-term value creation. We will also continue to look for opportunistic tuck-in acquisition opportunities to enhance our platform or offerings. Now let's go through our guidance for the remainder of the year. For Q4 2025, we're expecting GMV to be in the range of $2.195 billion to $2.315 billion. At the midpoint of the range, this represents a growth rate of 32% versus Q4 of 2024. We expect Q4 revenue to be in the range of $318.5 million to $334.5 million, representing a year-over-year growth rate of 24% at the midpoint. For adjusted EBITDA, we're expecting profit to be in the range of $74.3 million to $88.7 million or a margin of 25% at the midpoint. For the full year of 2025, this implies GMV to be in the range of $6.404 billion to $6.524 billion, representing a 33% annual growth rate at the midpoint of the range, an increase of 2% from our guidance in the start of the year. Revenue is expected to be in the range of $944.1 million to $960.1 million, representing a growth rate of 26.5% in the midpoint of the range, an increase of 1% from our initial guidance. And for adjusted EBITDA, we are expecting a range of $185.6 million to $200 million an increase of 37% versus 2024 at the midpoint and up 2% versus our initial guidance. We are excited by our guidance for Q4 and the full year of 2025 which reflects a strengthened outlook across all parameters. Furthermore, 2025 is expected to be our first GAAP profitable year as a public company. Our upward revised full year 2025 numbers demonstrate and reinforce our path to meet the medium-term targets that we provided at our Investor Day in March. To summarize, we believe the current environment represents exciting opportunities for Global-E to create value for our merchants by growing their sales while optimizing their costs and to continue growing at a fast pace for the foreseeable future. Given the increasingly complicated global e-commerce environment, we believe our services are becoming more and more integral to merchants every day. The market opportunity in front of us remains massive, and we plan to continue on our path to support merchants worldwide in expanding their direct-to-consumer business.

Question & Answer Session
Operator: [Operator Instructions] Your first question comes from Will Nance with Goldman Sachs.

William Nance: [indiscernible]. I wanted to maybe touch a little bit on the commentary around the [indiscernible] product? It seems like you guys have continued to flag the function of the market with [indiscernible]. And maybe if you could talk more [indiscernible] the opportunity for the [indiscernible] services and any changes in how you're thinking about the longer-term trajectory of additional products [indiscernible]?

Nir Debbi: Will, thank you for your question. It's Nir. Well, very excited with the developments we've seen obtaining -- updating the permission to offer duties or drawback in more jurisdictions to our clients. As the market becomes more complex for merchants, duty burden globally is rising. We've seen the changes already implemented on U.S. import [indiscernible]. We've seen some changes in the Canadian regulation. We are aware of the upcoming removal of de minimis also for EU that is expected sometime in the back half of 2026 for the entire European community. So the increase of -- in importance of duty drawback is clear because typically in e-commerce out of 100% that is being sold, you would see 10% to 15% that are coming back. Without duty drawback, it means that it's a loss of the duties on those sales, which typically account to 2% to 4%. So this is money that we can actually bring back home for our merchants, streamlining the cost effectiveness and in the current and foreseeable environment, that's a critical component to the trading.

William Nance: That's great. It makes a lot of sense. And then, I guess, just separately, I was wondering if you could maybe speak to pipelines. I realize we're kind of done with implementation for this year heading into the holiday season. Was wondering if you could give some incremental color on just how pipelines heading into next year compared to this year, both in terms of the size and geography of merchants and just how you're seeing the [indiscernible]?

Nir Debbi: Sure, Will. We continue to see high demand for new services supporting merchants doing 3 B2C, multi-local and other value-added services we deployed. Furthermore, there are multiple opportunities that we are seeing in global e-commerce as it becomes more complex. It's driven by what we spoke about just now from the extra complexity on duties, it's driven from other factors of complexity and cost structure aligning shipping, wanting to do a multi-local efficiently across geos, et cetera. So all in all, we are quite optimistic. We see development across the different stages of our funnel. We've seen it deployed into our Q4, which is part of the confidence we have in the guidance we gave. So all in all, we're quite optimistic going into 2026.

Operator: And the next question comes from James Faucette with Morgan Stanley.

Michael Fontan: It's Michael Fontan on for James. I wanted to ask on service fee take rates. How much of that sequential take rate decel is just due to the fact that you're continuing to win with larger merchants? And as you think about the path forward with some of the renewal impacts beginning to show up in Q4, how are you thinking about the path for service fee take rates from here if there are case-by-case pricing concessions that are made with those concessions presumably being absorbed in the P&L via some of those improvements in unit economics that you referred to in the past?

Ofer Koren: Yes. So thank you for that, Michael. Regarding the first 9 months of the year, it has been slightly volatile, and it's mainly due to mix. So there are some mix shift between quarters. And in addition to that, as you mentioned, we see larger enterprise merchants, a higher share of larger enterprise merchants, which also have a certain impact. So when you look at Q3, similar levels to Q1, lower levels compared to Q2. And as we mentioned in Q2, we had some positive mix impact, that's on the service fee side. Going forward, as we mentioned in the past, we don't see any significant wide change we do see from time to time, we might reprice on specifications. But -- but we are not -- we do not expect a significant change on service fee take rate. On the overall take rate picture, what we have been doing for the last few years and in the last quarter as well, is expanding our TAM by developing new business models that allows us to further serve new and existing merchants. And our main financial focus in these efforts has been driving profit, both from a margin and reported dollar perspective, and some of these models by nature, have lower take rates. For example, as you know, multi-local is a good example for that. But important for us to note that they all meet our long-term profitability and support our long-term profitability goals. So on the fulfillment take rate side, we have seen some decrease over time. For the near future, we expect it to be around the levels that you've seen this quarter.

Michael Fontan: Very helpful. And then just secondly, on managed markets. I know you've spoken in the past about harmonizing the domestic and international experiences. But can you just talk about what mechanically has sort of changed versus the prior implementation and what you expect to learn in the beta and perhaps how you're thinking about a little bit more of a material merchant push into next year post that beta testing?

Amir Schlachet: Sure. Thanks, Michael. It's Amir. So as we mentioned already, we've been making great progress on the rollout of the new managed markets, the new flow. The main change there, there are a few updates to the service, but I think the main cornerstone is that we've shifted the flows to work through Shopify payments, [indiscernible] through the dedicated payment infrastructure that we had in the previous iteration. And what that is expected to allow us is for, as you mentioned, a much more streamlined experience for the merchants in minimal change, if any, from how they're used to managing their store today. So that should be the, I would say, the great benefit of this new build. And together with Shopify, we've done most of the development. It's pretty much ready for rollout in 2026. And we are already the -- better merchants that we mentioned, they're kind of live merchants because they're -- every new merchant as of the third quarter when we had the build in place, every new merchant that is signing up for a managed market is actually going through this new flow. So we are getting an increased volume of merchants and transactions. And this is serving as the kind of the better testing for this new flow. We use the learning from that to make some final refinements and we'll be ready for a full rollout next year.

Operator: And the next question comes from Brian Peterson with Raymond James.

Brian Peterson: So maybe high level, can we talk about post some of the changes in tariffs and everything else? Like what are you seeing in terms of the top of the funnel in kind of that white space or new merchants? Any update there in terms of the top of the funnel in terms of that progress?

Nir Debbi: Brian, it's Nir. So all in all, I think that in line with our expectation, we have seen some effect on same-store sales, especially on the inbound U.S. corridor, where we've seen some weakness and also on the corridors between U.S. and Canada. However, on a global perspective, trading holds strong and resilient. So we're quite optimistic there. Taking it into what we forecasted in our pipeline and the [indiscernible] midterm onwards, we start to see it materializing as global trading becomes more complex, our funnel is actually being built up quicker than before, and we are quite optimistic that the extra complexities with the solutions and capability we built around duty drawback, import duty drawback, 3 B2C multi-local split shipments, et cetera, would create a sustainable business growth of new business in the coming quarters.

Brian Peterson: Good to hear. And maybe just following up. For the ReturnGo acquisition, anything we should be thinking about in terms of contributions to revenue or expenses in the fourth quarter?

Nir Debbi: Yes. So for now, ReturnGo doesn't have a significant impact. It will contribute up to $1 million of revenue in Q4. And it will have a slight negative impact on adjusted EBITDA, nothing worth mentioning. We are very optimistic about return go because since we acquired the company, we have been started to implement the ReturnGo solution into Global-E. It's early days, but we see good interest and traction from merchants. And we see some upside potential as it is still insignificant as I mentioned, but the run rate of revenue since we acquired the company has significantly grown and we are quite optimistic going into 2026.

Operator: And the next question comes from Mark Zgutowicz with Benchmark.

Mark Zgutowicz: Nir, I was just hoping maybe you can round out the commentary around same-store sales in terms of second half NDR trends sort of year-over-year and how you're thinking about first half next year and maybe also balancing that with just new deal pipeline growth?

Nir Debbi: Thanks for the question. So as noted, same-store sales growth has been relatively stable throughout the year. And it continued despite the global tariff changes we've seen and the effect on key corridors. As I indicated, there was a slight weakness of the corridor of imports into the U.S. versus how other lanes are trading as well as some weakness between the Canada and the U.S. with imports into Canada. However, overall, it looks stable, and we do see some realization that started late Q3 in terms of, I would say, some adjustment of consumer behavior, maybe and merchants pricing to the new environment. So we expect it to stabilize also on those corridors going into 2026. In terms of the funnel, as I noted, we are quite optimistic. As we stated in the last quarter discussion, this year, indeed, we didn't have mega clients launching at the back half of the year. However, this was compensated and we expected it to be compensated with multiple smaller merchants launches that are trading very, very well. So -- and this is, of course, embedded into the numbers that you see that show our confidence in the growth that would come from new merchants.

Mark Zgutowicz: Got it. That's helpful. And on Borderfree, just curious, it sounds like things are progressing there quite nicely. If you can maybe talk about trajectory into next year in terms of monetization? Is that perhaps more of a first half or a second half type modest inflection there on the monetization front, that would be helpful?

Nir Debbi: We are very excited with the opportunity of borderfree.com. I think that when we set up acquiring Borderfree 2.5 years ago and then the building we did to the platform, our goal was to allow our merchants to have an effective brand awareness at a guaranteed ROI because we've seen the changes with back then with Google Cookie Policy, Apple iOS changes that actually made attribution harder on their media spend and actually cost of driving new traffic to our site was expensive and getting more expensive. This is even further accelerated with a lot of the eyeballs moving into ChatGPT, Gemini and others, which take -- again reduces the contribution and the attribution of paid media. And that further strengthen the model behind Borderfree. So we are very excited. We see continued adoption of new merchants. We see more and more returning customers using borderfree.com. We expect that with investments we're making now into a direct to checkout solution, optimizing traffic journeys through the site, the new cart that we just launched just a couple of weeks ago, allowing you to buy more than one product out of borderfree.com, et cetera. We will see much more conversion out of there. It's already increasing in its share of demand generation to participate in brands, and we expect it to continue to accelerate 2026. I'm not -- I don't see a material contribution to direct revenue, especially not in the first half of 2026. But if we meet our plans, I believe that over time, it will hold outside the direct revenue much more stickiness with our clients and even faster growth to their own same-store sales.

Operator: And the next question comes from Samad Samana with Jefferies.

Debanjana Chatterjee: This is Jeremy on for Samad. Congrats on the strong results. I guess, first, can you please give the FX impact on 3Q GMV and total revenue? And what FX impact are you baking into the 4Q guidance?

Ofer Koren: So FX was much more stable in Q3 compared to Q2. We haven't seen any significant impact or on the top line and on the bottom line. And at least for now, it seems pretty stable in Q4 as well. So no big shifts and we don't expect any significant or material impact on [indiscernible] this quarter.

Debanjana Chatterjee: Okay. And then on the enterprise integration with Shopify, have you seen any change to the competitive dynamics or any key learnings or takeaways from shifting to the new partnership? And then maybe can you help us size the uplift transitioning to preferred economics that you're expecting going forward?

Nir Debbi: Samad, its Nir. In general, we haven't seen any material changes in the competitive environment. Over the last few quarters, we continue to clearly lead the market in the robustness, capabilities and offering of our platform and services. On Shopify specifically, we haven't seen notable changes since we signed a new agreement and transferred to the preferred status. Looking at the enterprise side, we don't see no one competes with us in a meaningful way today. There is another [indiscernible] provider that supports enterprise brands, however, the traction is low outside Shopify, and we expect it to be even lower within Shopify. On the smaller players, that are working on Shopify, those have been selling a [indiscernible] solution or point solutions even before the change and they haven't managed to take any enterprise merchants and only, I would say, very low traction within the smaller ones. So we haven't seen any material change to the dynamic.

Ofer Koren: In terms of the Shopify rev share, it has the improved economics from the new contract began towards the end of Q3 and the full impact is reflected in the Q4 guidance.

Operator: The next question comes from Patrick Walravens with Citizens Bank.

Patrick Walravens: Great. At a high level, can you guys just explain how the duty drawback works like very simply for people who don't quite get it? And then also what you need to do in order to roll it out in a new country?

Nir Debbi: Yes. So let's take into -- an example, a sale of a U.S. merchant to a Canadian shopper. Let's assume that the goods that were bought were USD 200. Once they hit the Canadian borders duty and tax applied, whether if they were paid in advance, paid at the border, duty and tax applies. The average duty rate, let's put it at 15%, would be another $30 that are paid on that -- on those goods and another 5% for sales tax, and you get $40 that are levied on this $20 or $200 parcel. Overall, this $40 are paid by the merchant or by the shopper, but they are part of what the merchant build into his pricing when he saw the goods. However, if I stated 10% of the goods are coming back or 15% even, it means that out of those $40 checks, on average, $4 to $6 are represented by returned goods. And actually, those dollars are lost today. With Global-E, for example, in Canada, where we have a CBSA approved credit program for our brands, we are actually able to reclaim those $4 to $6 for our brand, actually optimizing the cost structure selling into Canada around 2% for each transaction.

Patrick Walravens: All right. That's great. Okay. So you shouldn't have to pay on the things you return. Got it. And then Ofer a follow-up for you. As I look at your 4-year plan versus where you are now, everything seems to make a lot of sense, except maybe the non-GAAP gross margins, your fiscal '25 to '28, guidance is high 40s and you are 46 this quarter, right? So I don't think that's high. So can we just address that a little bit?

Ofer Koren: Yes. So I think that as we've mentioned in the Investor Day, we did not expect gross margins to increase over the levels that we have been able to reach. Basically, what we solve for is bottom line is cash generation and adjusted EBITDA that is more or less correlated to it. And as I mentioned, there are -- we have developed different models over time with different profiles that have some impact, different impact on [indiscernible]. So I think that we're actually, from our angle, we are on track to reach that target. We believe that we will be in the high 40s for gross margin. We're in that neighborhood now. And over time, we think that we can stay in similar levels, maybe likely improve over the term of the plan that we presented.

Operator: The next question comes from Koji Ikeda with Bank of America.

Koji Ikeda: I wanted to ask about agenetic commerce. And can you talk a little bit about how Global-E will help with the data flow to power agentic commerce? I mean do you envision globally plugging directly into the ChatGPT type agentic commerce experiences? And how, if at all, is agentic commerce changing sales cycles right now?

Amir Schlachet: Sure, Koji, it's Amir. Thanks for your question. Again, I touched upon it a bit in the prepared remarks. We do believe that a agentic commerce is going to affect the entire value chain of e-commerce. And we're already starting to see signs of that today. As I mentioned, mean starting from the top of the funnel, kind of demand generation is being done today more with AI-enabled technologies, including marketing campaigns, even campaigns that we ourselves are doing for B2C. They are using the Meta Advantage Plus tools that are AI-driven and we're building custom generative AI-based tools to streamline many functions across the funnel from consumer support and [indiscernible] scoping and in targeting and outreach to merchants. So we think that the -- especially the high growth kind of D2C brands, they're probably the best position to work to leverage AI integrations and remove barriers that currently exist in marketing and selling and advertising and creating traffic from markets where previously it was very complex for them to create brand awareness with manual processes. So we're looking -- we're constantly looking at the new developments in the field. We're very impressed by what AI-supported platforms have been able to achieve in the relatively short time. And we're already seeing some transactions, not directly through kind of instant checkout, but transactions that are already initiated from ChatGPT and from agent-assisted in-chat checkout. And we believe this will grow in the future. In any case, given our expertise, given our unique know-how and our scale of data and capabilities, we believe we are best positioned to provide the kind of international and the cross-border layers that are required in order to enable these AI-powered transactions in the future.

Koji Ikeda: Got it. And maybe a follow-up here. I look at the third quarter GMV growth, looks really strong and the 2025 GMV guide, that's really good, too. And so last year on the third quarter call, you did give some early look GMV growth color for 2025 of 30%. And clearly, the guide today implies that you're going to achieve that. So is there anything you can share today for 2026 GMV growth assumptions?

Ofer Koren: Yes. We are very happy with the Q3 results and the growth trajectory we are seeing into Q4, and this will also support us going into 2026. As mentioned in the prepared remarks, we have seen very successful merchant launches in recent months and they're also trading very well. So we believe that this will provide us some tailwind going into '26. Generally speaking, we believe that we are on path to achieve our midterm targets. And I think this is sort of the framework that we are looking at going into '26.

Operator: And the next question comes from Rob Wildhack with Autonomous Research.

Robert Wildhack: To start on the repurchase, could you just give us some additional thoughts on your approach to like a time frame around the $200 million?

Ofer Koren: So as we mentioned on the call, we have been in a closed window up till now, and we plan to start executing on the plan soon. The pace will depend on the market conditions and another aspect. But we do expect to start executing very soon and start to buy some of this plan in the coming months.

Robert Wildhack: Okay. And then bigger picture, could you just remind us about how you're thinking about the bridge between adjusted EBITDA and free cash flow, both as it relates to the guidance, but also in the context of the longer-term target? Any numbers that you could put to the free cash generation maybe between 2020 -- the bridge between 2026 and that longer-term target for, I think, mid- to high 20% margins?

Ofer Koren: Yes. So generally speaking, when we look at the full year, because we have seasonality for cash flow and free cash flow -- but when you look at the full year, it typically correlates with adjusted EBITDA, but it's higher. If you look at the previous years, and we expect it to continue to be somewhat higher compared to adjusted EBITDA. And this is supported mainly by working capital as long as we grow, this gives us some tailwind. And we expect it to continue on that path in the coming years as well.

Nir Debbi: I think -- also important to note, as we guided on the longer-term targets, we do have efficiencies of scale as we continue to grow. You can see it on the long-term trajectory of improvement in our EBITDA and of course, out of it, you will see also the improvement coming on our free cash flow that is trading even slightly better.

Operator: And the next question comes from Chris Zang with UBS.

Chao Zhang: And I just have a question on the regional trends you've seen so far, and I'm talking about the merchant outbound region. And it looks like there's some softness in the U.S. that was offset by U.K. and European Union, even if you adjusted for [indiscernible] for U.K., can you maybe just comment on some of the regional trends versus the prior quarters and what are [indiscernible]?

Nir Debbi: I think what you referred to is the fact that the share of the U.S. outbound was slightly lower this quarter. I don't think that it reflects a weakness on the U.S. trading outbound. It's much more reflects the mix of our new launches that is coming from additional origins, such as our great success in APAC and also some growth in Continental Europe that in share grew faster than the launches we had in U.K. And also some of the merchants have traded even better. But the combination of both yielded this result. It's not that we expect it to, over time, be consistent. So I wouldn't use the [indiscernible].

Operator: And that concludes our question-and-answer session. I'll hand it back to Global-E CEO, Amir for closing remarks.

Amir Schlachet: Thank you. And on behalf of the entire global team, I would like to thank everyone for joining us today and for your ongoing support. Despite the uncertainty that the global commerce markets faced at the start of the year, we've continued to outperform every step of the way. Our outlook and market positioning is as strong as it's ever been, and we're excited to demonstrate continued performance for the remainder of 2025 and for years to come. We see tremendous opportunity within the market for our platform and services. As we grow in both new and existing merchants, our confidence in the value that Global-E is bringing to the e-commerce market remains reinforced. With a long runway of innovation and growth here at Global-E and by leaning into the opportunities ahead of us, we remain confident in our ability to achieve our growth targets across our key metrics for the foreseeable future. We look forward to speaking with many of you during the quarter and updating you on our future earnings calls. Until then, goodbye and take care.

Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.